Gianandrea Roberti: Good morning, everybody. My name is Gianandrea Roberti. I'm Head of Investor Relations at Tryg. We publish our Q4 and full year results earlier this morning. And I have here with me Johan Brammer, our Group CEO; Allan Thaysen, Our Group CFO; and Mikael Karrsten, our Group CTO, to present the figures. I would just like to remind all participants that in the Q&A, it would be one question at a time to allow everybody to ask questions. And with these words, over to you, Johan.
Johan Brammer: Thanks a lot, and I will go directly to the financial highlights on Slide 3. So yesterday reporting an insurance revenue growth of 3.6% in the last quarter of the year and just above 4% for the full year. The growth both in Q4 and for the full year has been primarily driven by price increases in the Private & Commercial segments in order to fight off the inflationary pressures. Importantly, the growth of the group has been achieved in a period where our Corporate segment has been reduced as a result of our very deliberate strategy of running a smaller and more controllable corporate book, closer to home where we are more familiar with the risks we underwrite. The Insurance Service results landed at DKK 1.708 billion for the last quarter of the year, bringing us to a total of DKK 7.324 billion for the full year. Please note that when normalizing for better-than-normal large in weather experience, the number for the full year is just above DKK 7.2 billion, completely in line with what was disclosed very clearly at the CMD in December last year. The ISI in Q4 has been primarily driven by a positive top line developments and improved underlying performance and lower than normalized claims. Again, this was partly offset by a generally lower level of interest rates, impacting the discounting of our claims reserves and a lower run-off results. We are very pleased to end the reporting of the RSA Scandinavia synergies at DKK 930 million for the full year of 2024 against our initial target of DKK 900 million. I guess it has been visible for some quarters that we were ahead of the plan. So this is unlikely to be a major surprise. It is important to remember also that the overall level of synergies would have been higher with a more favorable currency development for the SEK and the NOK. The overall combined ratio for Q4 2024 was very similar to Q4 last year with the group underlying claims ratio improving by 20 basis points and the private underlying deteriorating at a similar level in line with Q3, but less than previous quarters in 2024. Motor remains an area of focus as we continue to see slightly higher frequencies and a slightly higher average cost of claims. We will get back to that. My main comment on the investment result relates to the fact that we've been derisking the free portfolio and sold more than DKK 7 billion of risky assets in October, swapping these with highly rated and liquid covered and government bonds. As a result, we do expect a lower but more stable investment result going forward. We'll come back to a couple of the technicalities dragging down the investment result in this particular quarter later on today. Finally, we reported a Q4 pretax result just above DKK 1 billion, a quarterly operating EPS of DKK 1.54 and a ROOF of just below 22% in Q4 and 34% for the full year. The ROOF would have been around 32% for the full year, excluding the DKK 2 billion buyback that followed the asset derisking. We're paying a quarterly dividend per share of DKK 1.95 in line with previous quarters in 2024. And I'd like to remind you that we launched a buyback of DKK 2 billion on December 4 of which we have currently bought back around DKK 546 million as per January 17. With that, we turn to the next slide on customer highlights. We are showing on this slide the overall level of customer satisfaction. And as you may remember, we did have a target of 88, but we are closing the year and the strategy period at a customer satisfaction on 87. This shortfall to the 88 target is obviously disappointing. But in a period of very high inflationary pressures, we've had to raise prices accordingly, which has impacted the overall customer satisfaction. And we do indeed take some pride in having increased the customer satisfaction from 84 to 87 during the last strategy period. In fact, we have achieved the highest score ever in Tryg. During the period, we have seen a higher customer satisfaction, in particular, within claims handling, thanks to more automation and faster processing times. This has actually been enabled by the implementation of a new claims system in Norway and Denmark. And as a consequence, we are now also migrating Claims Sweden into the same system to achieve similar benefits. We've set a new target for customer satisfaction of 83 when we go into 2027. And please note that the reporting in the last strategy period did not include Sweden, where the customer satisfaction level is somewhat lower. And hence, the baseline for 2024 incorporating Sweden would have been 81. In the next slide, as usual, we show the Insurance service result by the different business segments. It's important to remember that the headline ISR is as always impacted by a number of different factors, such as large and weather claims, run-offs and the level of interest rates. As for the Private segment on top, we report an increase of the ISR of more than 10%, helped by lower weather claims and a higher run-off result. As for the Commercial segment, we are reporting a lower ISR driven by higher large claims and a lower run-off result. And finally, as for the Corporate segment, we are showing an unchanged ISR with a lower level of large claims, offset by a lower level of run-off results. It's important to remember that the Corporate segment has around 20% lower premiums in the quarter or approximately DKK 180 million. Also, please note that the Corporate segment reported a combined ratio of 83.8% for the full year. With that, I turn to Slide 6, where we also show the ISR by geography. And in this quarter, Denmark and Norway, are reporting higher earnings than last year, while Sweden is slightly lower due to lower run-offs and a higher large claims. In general, we'd like to stress that although Norway is improving, Norway is still not where we wanted to be, and we'll deep dive on this topic when we discuss the price increases later on in this presentation. When you look at the financial bridge for the group in Q4 on the top of the right-hand side of this slide, I would point to the following key positives. Growth in the business improved underlying performance and lower large and weather claims taken together. These positives have been partly offset, only partly offset by a lower level of interest rates and a lower run-off result. When we look at the financial bridge for the full year on the bottom of the right-hand side, I'd like to repeat, as mentioned already at the CMD that while we are ending the year close to the middle of our ISR target range of DKK 7.2 billion to DKK 7.6 billion, adjusting for the better-than-normal large and weather claims experience, we're actually closer to the DKK 7.2 billion, once again showing that it has been a complicated period for our business with the sudden return of very high levels of inflation. Turning to Slide 7. We are for the last time updating this slide with a full RSA Scandinavia synergies. We are ending the integration with DKK 930 million of synergies, slightly above the initial target of DKK 900 million. And in this regard, it's important to remember that during this period, currency movements did indeed develop unfavorable. We've shown this slide also that we are disciplined and committed to deliver on our promises when we do M&A, both in the case of Alka and most recently, RSA Scandinavia, we delivered synergies slightly above the initial ambitious targets communicated to the market. Moving into the new strategy period. We'll now achieve a second wave of synergies from the RSA Scandinavia acquisition by leveraging scale across a number of areas ranging from systems and infrastructure, technical as well as customer and commercial excellence. Moving on to the next slide, I'll briefly comment on the fact that we have indeed achieved all financial targets for 2024. We stand, therefore, on very solid ground ready to move into the 2027 strategy period where we aim to lift the ISR by DKK 1 billion as communicated at our CMD in December. We've also met our strategic targets, leaving aside the customer satisfaction shortfall that I discussed previously. With that, we turn to the next section on Insurance revenue and portfolio and move to Slide 10. Here, we show a revenue growth in local currencies of 3.6%, while the equivalent number for the full year ends at 4.1%. The growth during this period has come primarily from the Private and Commercial segment, while the Corporate business has been reduced due to our strategy of rebalancing the Corporate segment, including strategic exits of non-Scandinavian property and U.S. liabilities. The growth during the quarter and the full year in Private and Commercial has been clearly driven by price increases needed to offset inflationary pressures and improved profitability, especially in Norway. We remain very focused on protecting margins and improving the parts of our business which are still not where we want them to be. And please note that due to the internal reorganization that we announced more than a year ago, we've merged the segments Commercial and Corporate. This means that for reporting purposes from Q1 2025 and onwards, we will only show two segments, namely Private and Commercial, whereas the Corporate segments no longer will exist as a separate business unit. We will, however, still make sure to publish selected financial highlights related to the Corporate business, which by the way is expected to report a modest growth for the full year of 2025, most likely more in the second half than the first half. With that, I turn to Slide 11 on rate increases. In this slide, we are showing you the rate increases in our main Private segment split between Motor and Property in the different countries. As mentioned for several quarters already, we see a need for improved profitability in our Norwegian Private Lines business, and therefore, it should not come as a surprise that rate increases are the highest in Property and Motor regarding Norway, and this will continue to be the case going into 2025. Mikael will come back to that. It is our impression that all listed players are very focused on improving profitability in Norway, and this is very supportive. Additionally, we've noticed recently strong financial targets from one of the large not listed players, which is also supportive. On the next slide, we are showing the customer retention levels, which remain broadly stable after a period with high inflationary pressures matched by similar price increases. It is important to be aware that in Norway, we lost a selected partner agreement that weighs modestly on the overall retention rate. And I guess, in general, despite the loss of selected customers across the different lines of business, it is our very clear impression that customers do continue to value their insurance protection, especially in a more volatile macroeconomic environment as we're experiencing today. And with that, I hand it over to you, Mikael, to go through the claims development.
Mikael Karrsten: Thanks, Johan. And we now move to Slide 14. We are reporting a group underlying claims ratio improvement of 20 basis points for the quarter and 30 basis points for the full year, driven primarily by profitability initiatives in the Commercial and Corporate segments. The Private segment is still reporting a 20 basis points deterioration in the underlying claims ratio driven by the Motor segment. We remind everyone that 10 basis points for the quarter is equivalent to approximately DKK 9 million. Although this is a relatively small amount, we are somewhat disappointed that we haven't seen more improvement in Private Lines underlying driven by Norway. As Johan mentioned, we continue to drive rates in Norway and going into 2025, rate increases for the Norwegian personal lines motor as well as house and content books are in the high teens. We have been mentioning at the Capital Markets Day, and we'll reiterate today that we, for the group expect a broadly stable to slightly improving underlying performance going forward towards 2027. And by that, I'll move to Slide 15. In this slide, as usual, we show the different levels of large and weather claims as well as interest rates and the run-off results. Large claims experience was more favorable than normal in Q4, while weather claims were slightly worse. As an example, snow arrived early in Denmark in November, Storm-Jacob hit Norway in the first part of Q4, while at the end of December, bad weather hit Denmark. In general, Q4 and Q1 always see a higher amount of weather-related car accidents and higher amount of pipe parts just due to general winter conditions. And hence, we seasonally expect more weather claims in these quarters versus the average. Large and weather elements are tightly connected to our reinsurance. From a more forward-looking perspective, we are happy to conclude that we have renewed our reinsurance program virtually on an asset basis, both in terms of coverage and premiums. This is better than what we had planned for. And from a coverage perspective, the only notable change is that we, for our property per risk program, have a more clean deductible of DKK 200 million, whereas we before bought some coverage to decrease the deductible from a second large claim and onwards. Interest rates fell in the quarter, and we now have a discount rate of 2.1%. This has an impact, all else being equal on our reported claims ratio as lower discounting of claims reserves implies higher claims in the P&L. Finally, the run-off result was 2.4%, close to recent quarters. We have been guiding already for a run-off result around 2% in the new strategy period. And by that, I hand it over to you, Gian.
Gianandrea Roberti: Thanks, Mikael. As always, we are showing the full picture here of our invested assets, totaling DKK 61 billion at the end of 2024. The free portfolio is approximately DKK 17 billion and the match portfolio is DKK 44 billion. The most important thing to remember is that during Q4, we derisked the free portfolio having sold more than DKK 7 billion of risky assets and replaced this with highly rated and liquid Scandinavian covered and government bonds. On the next slide, we're showing the total investment result, which for the quarter, it's minus DKK 265 million. If I look at the three components, the match portfolio had a result very close to normal expectations with the current level of interest rates. The free portfolio was dragged down by the sale of the risky assets in October, crystallizing a loss of approximately DKK 80 million on some of the sold assets, while properties reported a negative return of approximately 1.5% in the quarter. Importantly, covered and government bonds, reported a nice and stable 0.6% quarterly return or 2.4% annualized. Other financial income and expenses included a DKK 70 million negative value adjustment on the inflation swap coming from lower inflation expectation in Sweden. This is obviously a long-term positive, but for our core insurance result. We've also been mentioning that going forward, our key asset of choice is Scandinavian covered and government bonds and that real estate long term will not be a strategic asset classes for Tryg. And now over to you, Allan.
Allan Thaysen: Thanks, Gian. Please turn to the first slide in the Solvency & Expenses section for details on the Solvency position. Tryg reports a solvency ratio of 196 as per end of 2024, which is fully in line with our message at the Capital Market Day. The development in the own funds in Q4 is primarily driven by operating earnings, dividends and buybacks. As a reminder, the DKK 2 billion buyback is fully deducted from our own funds at the start of the program. The solvency capital requirement is primarily impacted by the derisking of the free portfolio conducted back in October, selling risky assets and buying highly rated and very liquid Scandinavian covered and government bonds. This has resulted in a net fall of the SCR of more than DKK 800 million. We would like to repeat that, modeling Tryg solvency ratio is fairly simple as operating earnings and capital distribution primarily impact own funds, while the SCR is likely to remain relatively stable. Finally, I would like to point out that our capital generation remains very strong. The Insurance service result after tax are not too far from the total solvency capital requirement. Please turn to the next slide. Here, you can see the long-term solvency ratio development. We've been very satisfied to close the year with a solvency ratio of 196 supportive of future capital returns. As mentioned at the Capital Market Day, we expect the solvency level to long term gravitate towards a less conservative level. But for the time being and especially during the last period of macroeconomic turbulence, we believe a robust solvency position to be a positive for our investment case. As also mentioned at the Capital Market Day, we will at year-end, starting end of 2025, review our solvency level and may consider extraordinary buybacks if found appropriate. As always, we prefer gradual approach, benefiting our shareholders with balanced actions. Now please turn to the next slide. In this slide, we're showing the updated solvency sensitivities. Unsurprisingly, the solvency ratio sensitivities are much more stable now following the derisking of the free portfolio. The vast majority of our fixed income exposure is represented by Scandinavian covered bonds, and therefore, it is not surprising that spread risk against this asset class is Tryg's biggest sensitivity. The sensitivity to interest rate movement is very low, taking in consideration our matching strategy and generally low sensitivities due to our strong and hedged balance sheet. Finally, I would just repeat that long term, we do not expect real estate to be part of our asset mix, potentially releasing a further approximately DKK 300 million of SCR. And now please turn to the next slide for details on the expense ratio development. We report an expense ratio of 13.3% for Q4 and 13.5% for the full year, which is fully in line with our guidance for 2024. The overall expense ratio is impacted positively by tight cost control and the synergies from the RSA Scandinavia acquisition. As mentioned before, a significant amount of the cost synergies are being reinvested in developing the business, especially in Sweden. A number of employees remained broadly stable this quarter, and for the full year, down some 250 FTEs. Finally, we see low expense ratio as a key competitive advantage, and we are very pleased to be able to run our business with such a strong level of efficiency. And with this, over to you, Johan.
Johan Brammer: Thanks a lot, Allan, and we are now entering the final part of our presentation. I'll take you to Slide 25, where I'd like to remind you of the three main pillars supporting our 2027 strategy and our ambition to grow the ISR by DKK 1 billion. Scale & Simplicity will add DKK 500 million; Technical Excellence will help with DKK 300 million; and Customer & Commercial Excellence will bring another DKK 200 million towards 2027. We are quite excited about this journey, and we look forward to updating you on our strategy progress and monitoring our financial development in the quarters to come. On the next slide, I'd also like to repeat our financial targets for 2027. We are targeting a combined ratio of around 81% as always, assuming current interest rates, currency levels and guided large and weather claims. The combined ratio target translate into an insurance service result target of DKK 8.2 billion, always stated between DKK 8 billion and DKK 8.4 billion, allowing for some flexibility at both ends of the range considering all the moving parts. In addition, we will deliver a ROOF between 35% and 40%. And finally, we aim at distributing DKK 17 billion to DKK 18 billion to shareholders, including the ordinary dividend and the DKK 2 billion buyback started on the day of the CMD in December. We are highlighting in this slide also the three strategic KPIs supporting the financials being customer satisfaction, straight-through processing and CO2 reduction. And lastly, but surely not least, on the last slide, we end our quarterly presentation with our favorite quote from John D. Rockefeller. Our focus on remunerating our shareholders is intact and completely unchanged through the different strategy cycles. And with that, our favorite slide, I hand it back to you.
Operator: [Operator Instructions] The first question is from Asbjørn Mørk from Danske Bank.
Asbjørn Mørk: One question. It's basically going to the underlying group claims ratio development of 20 basis points during Q4. If we sort of look at the development in the last 8 quarters, it's been a quite linear deterioration to the year-over-year improvements. Obviously, something -- some of that is driven by the synergy realization, of course, from the deal 3 years ago. But basically, my question goes to how much is this surprising you? How much is this according to plan? I do remember what you said at the Capital Markets Day, 6 weeks ago, on the development for the next three years. But really, if I look at the trends combining this with the customer retention slide, that I agree, is still on a high level, but nevertheless, the customer retention seems to be at the lowest level in quite a long period for your Private division at least in Norway and in Denmark. So -- and then obviously, the pruning that you have done in the Corporate portfolio, which I guess has been a tailwind for the underlying claims ratio trend. So basically, we just take it a little bit deeper also considering the communication you had on the motor part in Norway, how much of this is actually a surprise to you?
Mikael Karrsten: Thanks, Asbjørn, and I'll start to try to unpick that question. I think, if we go back just to a very high level, I mean our commitment of fighting inflation is our top priority. It has always been and it always will be. So I mean, that's always our starting point. Then when we come to sort of what surprises us and what doesn't surprise us. I wouldn't say that there are any big surprises. But I think we can conclude that severity inflation in the Motor segment, particularly in Norway is more stubborn than probably what we had hoped for. So that means that although we are pushing significant rates, as mentioned, and that we actually will do even more going forward. That is still a part which, as I mentioned before, is slightly disappointing to us. That in no way sort of shies us back from doing more actions and taking the correct actions going forward. And then, just sort of slightly over to sort of the Commercial and Corporate parts that you mentioned. Yes, we have been running various initiatives. We still see good effect from that, and we're very comfortable with our Commercial and Corporate development overall.
Johan Brammer: And if I could just add a few things, Mikael, because I totally agree. If I just ask -- Asbjorn to your questions, if I can just add a few more comments around it. So first of all, taking a step back, you're asking whether there's a disappointment. And just to be very clear, we have no disappointment overarchingly with our Q4 or our full year results. Of course, there are bits and pieces in our portfolio that we would like to improve. But overarchingly as a group, we are very content with our full year numbers. Q4 could have been slightly better, possibly, but having a Q4 for our group with a combined ratio of 82.5% in one of the more weather-impacted quarters is not disappointing. I actually believe this builds a very strong platform for our 2027 strategy. I could not have hoped for a better start to the new strategy, to be honest, delivering on our financial 2024 strategy. You mentioned one other topic. I don't think you commented on that, Mikael, around customer retention. And you're right in saying that it is, of course, having some impact, the inflationary pressures we are seeing in the pricing initiatives. When we go back decades, we've been through these cycles before. We've seen how retention rates soften up a little bit. When we do the repricing to the magnitude we are doing now, but it doesn't concern us at all. We are seeing a very high customer satisfaction. We are confident that when inflationary pressures take off, we will come back to retention levels that we've been before. So we don't see any concern on that.
Asbjørn Mørk: Let me just follow up, is it fair to then -- because we were all very excited at the Q3 report that the underlying claims ratio deterioration in Private seemed to sort of improve to only 20 basis points, now it's still 20 basis points in Q4. And given what you're seeing in the Motor inflation and Motor frequency, is it fair to assume that we will not get any improvements in the next couple of quarters in Private, even with the price hikes that you're carrying through, and maybe a couple of quarters ago, you would have expected some improvements already in the beginning of '25?
Johan Brammer: I think, this is fine surgery when we're discussing 10, 20, 30 bps on our underlying to be honest, we are expecting a fairly stable and slightly improving underlying for the next 3 years. I think, we are on that ballpark, to be honest. Would we like to do more pricing to improve it? Yes. We are in no hurry to do so. This is actually very, very much in line with what we said, stable and slightly improving. This is okay.
Operator: The next question is from Faizan Lakhani from HSBC.
Faizan Lakhani: My question is coming to the combined ratio. So the full year is 81%, within that you benefited from some benign large losses and PYD was 80 bps higher than the guidance of the next business plan. Once they adjust for all those factors, you're operating around 82% combined ratio, assuming a 2% PYD. I understand and you reiterated a number of times, you're assuming sort of a flattish underlying improvement, large losses are going to be flat on an absolute basis may suggest 30 bps improvement. How do I bridge the gap between the 82% to 81%, if I'm not getting further underlying improvements? I just want to understand the walk from a combined ratio perspective.
Johan Brammer: It's a good question. Maybe I can just start, and then I'll hand it over to you, Mikael. I think, what I was saying was broadly stable to slightly improving underlying. And I think in that, there is plenty of room to actually bridge the gap you're trying to bridge. So it does all stack up, broadly stable, slightly improving. That's -- I think, that's the key to unlock your question.
Mikael Karrsten: Yes. And maybe if I just add on this topic as well, and it goes a little bit into the previous question. As Johan said, we reiterate the stable to slightly improving underlying loss ratio. And again, there are things that we're looking for improvement on Norway, in particular, which is very much linked to the price initiatives and other profitability initiatives that we have mentioned. So of course, there will be supporting elements in that in bridging that gap and taking us towards both the core and the ISR levels that we have communicated earlier.
Faizan Lakhani: And sorry, just to add or to ask a slightly different way, I guess is, should we be assuming some level of expense ratio improvement given sort of the detailed buckets you've given? Or is that all just going straight into sort of reinvesting in the business? Because that to me suggests as an element, you haven't really talked about as potentially an element to bridge that combined ratio.
Allan Thaysen: Well, good morning from my side as well. I mean in general, at our Capital Market Day, we focused on combined ratio, which is our overall measure for our margins. And what we also said was we expect underlying an expense ratio to be broadly stable to slightly improving. But we allow ourselves the flexibility. And we think an overall this year on combined ratio, coupled with broadly stable underlying expense ratio is enough guidance and within what can reasonably be set towards 2027.
Faizan Lakhani: Okay. And sorry, if I could just ask one follow-up, and I apologize. This is sort of the second question is, is it realistic to assume a flat absolute large loss and weather level for the next 3 years, given the fact that you are growing, there is inflation, this climate change. Is that realistic?
Mikael Karrsten: So let me -- I can dig a little bit into them to that. I mean, overall, yes, I mean, obviously, we guide for DKK 800 million on both of these elements. When we do that, obviously, we have done quite a sort of deep dive analysis into both the large element and the weather element. And if -- I mean, at some point in time, obviously, you're right because growth, et cetera, will take out it, right. But that's sort of not in any way impacting our overall story. And that will be sort of potential slight changes to that. But obviously, we'll communicate that, but that has no impact whatsoever on our overall guided ISRs, scores, et cetera, et cetera.
Johan Brammer: And generally, just to bring it back to the sort of the composition of our portfolio, we are a very short-tail business. So should any of our assumptions change over time. And they might, as Mikael said, it could be due to growth or other changes. This is a matter of us deciding and moving it into the tariffs as the rest of the market will do, and we’ll make it go away. So it’s a short-tail business. That will help us also square this should change.
Operator: The next question is from the line of Alex Mackenzie from BNP Paribas.
Alex Mackenzie: Really just on Norway and on Motor. Could you please provide some more detail on what's actually driving the frequency in to those two dynamics? I mean, just like maybe some practical examples? And then, whether you maintain the view that the market remains attractive.
Mikael Karrsten: Right. So let me start on some examples of the inflation part with frequency and severity. I think, if I start with the severity part, I mean, obviously, we have said before, we are affected both by salary inflation and also not least spare parts. And if I take a couple of examples on spare parts, we can see that we are in the low end of double digits inflation for things like rear fenders, doors, front headlights, et cetera. So actually, the sort of inflationary figures that you see out in society, we see different inflationary figures when it comes to the spare parts in particular. So it's really important to keep fighting that off. And then, when it comes to frequency, I mean, that's not a Norwegian thing particularly. That's a motor thing overall. We have seen frequencies increase. There are some tendencies for that to normalize. But we, by no means, take any victories in that, but rather stay very conservative on our assumptions going forward.
Johan Brammer: And just to your last point around market attractiveness. I think, we’ve tried to communicate this before the market in Norway is absolutely attractive. And if we look at some of the challenges we are seeing in Norway at the moment, they are related to the Private Lines business. Our Corporate Lines business is actually losing attractive returns. If you look at the Private Lines segment, there’s plenty of other operators in the Norwegian market who has historically been making healthy profits, including ourselves. We are on a journey towards that level. We are not where we want to be right now, but there’s nothing that indicates to us that Norway is not an attractive market to be in. We just need to make our Private Lines business more profitable, and we are in the midst of that. We’re not where we want to be. If you look at the year-on-year comparisons on combined for Norway as a total, it is actually going in the wrong direction. If you look at the Q4 versus Q4 last year, we actually see a slight improvement. So we are on the right trajectory. But moving a portfolio of the size of ours, it takes time. As Mikael said, it’s a lot of detailed decisions based on data. We are doing that. The medicine has been given. Now it’s a matter of messaging into the portfolio, and we are confident that we’ll get no way to where it wants to be. But we are not falling in the trap of setting a deadline or setting a date. I think, these things with our experience, takes time, and we just need to be relentless in driving for profitability in Norway, and we are.
Operator: The next question is from Mathias Nielsen from Nordea.
Mathias Nielsen: Also my question is also a bit related to Norway. So you already alluded to just there, Johan that, the improvement when you look on Q4 versus Q3, improvement is down. Can you say a bit about how much is weather and how much is underlying? And also like when you look on the underlying, how much of the Private underlying on the group level, how much of that development is actually only related to Norway? And is that anything that this is likely the underlying improvement in the Private trade ratio? Is that anything that is holding you back from turning on the growth again, especially with the cross-selling, for example, in Sweden and also in Denmark, is there anything that looks odd on that?
Mikael Karrsten: Mathias, and I'll start on that question. I think, if I sort of take it maybe one step back, looking at the underlying overall, to zoom in our concern on underlying and our focus on underlying is Motor and is Norway. If we look at all other parts of the portfolio, we are sort of exactly where we want to be, profitable portfolios, et cetera, et cetera. Then when we come in to Motor, in particular, we see inflationary pressure, as we've said before, and we see that in all markets, especially we see that severity inflation is quite stubborn. So by no means, sort of inflation is then from that perspective. We said that in previous quarters. We say that again this quarter. So the price increases are vital in order to fight that off. And if we then move over to Norway, I think, what is particular about Norway is two things. One is that we had starting point, which was worse, meaning that we need to improve the business, not just fight off the inflation. And the other part is that the stubbornness and the sort of increases, especially in spare parts, tend to be higher in Norway than in other markets. So with those sort of starting point, we take the medicine as we have described, and as Johan was alluding to before. And we are keep taking that. We are taking stronger medicine, as we said before, in especially parts of the Norwegian portfolio with even more rate increases. And that's something that we will continue to do in order to get the portfolios to where it should be.
Johan Brammer: And then to your other point around, the more commercial opportunities and the growth and the cross-selling in Sweden, as you alluded to, I think we've been pretty clearly stating that with inflation at levels as it's been in the last 2 years, we've had our focus on keeping that off the premises of Tryg. We are all anticipating a time when inflation tapers off and we can sort of restart our commercial engines with more cross-selling, up-selling, more growth coming from new customers, et cetera. But I think, we're very concerned with our current focus coming out of the strategy period with all the macro we've been fighting in the last strategy period, delivering a combined for the group for the year for at 81%, means that we've been doing our job, and I think it's a good platform for the future strategy period. We will definitely also reignite those engines, but we'll do it when it's time. And we have so far, it's not the time for all our markets.
Mathias Nielsen: But is there any markets where it's the time? Or is this like -- are you saying like all margins are still in like price increase focus only?
Mikael Karrsten: No, I think – I mean, that’s a good nuance, right? There is definitely parts of our business where we are also entering into new partnership agreements, where we are offering new product categories, where we are offering online flows into the SMEs. So there’s plenty of commercial activity also on our side. I think, what we are trying to just emphasize here is even though we’re doing all those things, the key priority, priority #1, #2 and #3 is margins at the moment, but we are doing many exciting things also with customers, both Private Lines and SMEs at the moment. And maybe your question means that we should try and bring that to life at our next quarterly call actually, because we’re doing many things that we can open up to.
Operator: The next question is from Vinit Malhotra from Mediobanca.
Vinit Malhotra: I'll try to steer a little bit similar, but slightly different angle on Norway. So we -- at the CMD, which was beginning of December, I assume that you might have had some idea that fourth quarter in Norway was still pretty rough or maybe you didn't because December was tougher? Or -- so I'm just curious and based on what we have been discussing, do you see that you would be tweaking any of the strategic objectives you've laid out? I'm sure you just laid them out and they're well thought of, but is there any tweaking you would be doing that minor changes that you think you would point us to or maybe we should wait a few more quarters? So just looking for that.
Mikael Karrsten: I'll start on that again. I think, back to what I mentioned during the webcast as well that just to say something around sort of the magnitudes here, I mean, 10 basis points for the quarter, equivalent to DKK 9 million. I just have that as a reference part. I mean, again, we are not exactly where we wanted to be in terms of the Norwegian underlying development, as been mentioned before, it's relatively low amount, but still that doesn't sort of, in any way, shy us away from taking the medicine that we should. From a more strategic perspective, this in no way sort of changes anything. We are doing exactly the actions that we want to do in order to have the improvement necessary in Norway. And from a strategic perspective, it changes absolutely nothing.
Johan Brammer: I think, you can even take the contrary point of view, right, that we are delivering as a group a combined of 81% with the Norwegian performance, which is hovering around 92%. So there's room to move and improve for us as a group.
Vinit Malhotra: And there's no specific electric vehicles or any other thing to mention here, right?
Johan Brammer: Sorry, come again, I couldn't hear you.
Vinit Malhotra: And just on the -- you mentioned spare parts, et cetera, but there's no trend between electric and fossil fuel vehicles or anything to note?
Mikael Karrsten: No, I mean, this is sort of the market in general and some of the sort of different inflationary pressures and then getting the price levels to the point where they should be. And all of those actions are in working. And obviously, we are super keen to see them fall out. And as Johan said, we’re not promising any specific dates, et cetera, but we’re taking all the strong medicine needed.
Operator: The next question is from Johan Ström from Carnegie.
Johan Ström : I'll continue on the underlying. To go back a couple of years, the underlying claims ratio improvements were very strong. And I think part of the improvements were due to a mix effect where reduced exposure in Corporate and generally low-margin business helped the underlying development. Is that still the case? Are we seeing any of those effects in Q4, given the current development in Corporate? Or has that become less of a relevant effect for the underlying?
Mikael Karrsten: And I think, I mean, overall, you’re very correct on this. I think, we said before that the composition of underlying development, again, staying stable to slightly improving will change going forward, because we have taken the big steps in Commercial and in particular, the Corporate book. Again, going back to the last strategy period where we took quite some big moves within the Corporate segment, derisking the book, making sure that it was profitable to the extent we want to, et cetera. So it is less of that improvement, as you’ve seen over the year to coming through, but still it’s actually, sort of, quite nice improvements coming through. And then, we need to do what we need to do in the Personal Lines business, again, fighting off inflation for motor as we are and improving Norway. So I think the storyline is actually pretty simple in that perspective.
Operator: The next question is from Martin Gregers Birk from SEB.
Martin Gregers Birk: Perhaps switching the topic a bit. If we look at your investment income, you reported, in another quarter where we reported a loss on your swap. And to my recollection, and please correct me if I'm wrong, we have only talked about the losses during this accounting regime. We have never talked about positive fair value adjustments in respect. So over -- given that you've used this accounting practice, there is also a benefit in your technical results. So for the accounting year 2024, what's the benefit on your technical results from applying this accounting practice?
Gianandrea Roberti: Martin, good morning from me as well. I will take this question. First of all, there have been quarters where this item has been positive as well. So it's not entirely correct to say that it's always been negative. Secondly, obviously, long term, there is an offsetting elements of this, which is in the run-off. So you really cannot see it. It's in a big part of the run-off. And I think we have been mentioning before that we don't use the mark-to-market curve on inflation, but we use a more long-term smooting assumption. So we've been mentioning before on this precise question that you really cannot have a one-to-one impact in the same quarter in the run-off. But longer term, this is what it will happen.
Martin Gregers Birk: But I'm not asking for the -- I'm not asking for the quarterly impact. I'm trying to sort of get a, sort of, what's actually the impact of your technical result on this? Because I guess, when we talk about -- when we talk about -- I mean, you never talked about the fair value adjustments on your inflation swap. Let me put it that way. We only talked about negative. I guess, inflation expectations have also been falling ever since you started to implement this new accounting machine. So there has to be some kind of uplift to take the results. And I'm wondering what that is.
Gianandrea Roberti: I mean, if you take the DKK 70 million that we're booking now in Q4, what we are saying is that, not using a mark-to-market, because we don't do that with inflation assumptions. But long term, this DKK 70 million should be reflected in the run-off result in the business. So it's relatively precise, right?
Martin Gregers Birk: Okay. So back to my question on a rolling 12-month basis, what's the benefit of this accounting machine?
Gianandrea Roberti: Last 12 months, or...
Martin Gregers Birk: Yes.
Gianandrea Roberti: I need to go back and sum up all the negatives of this year, but I’m probably around DKK 120 million to DKK 150 million with the – I would need to – I would hate to be more precise than that, then you should just take that number.
Operator: Next up, we have Jan Erik Gjerland from ABG.
Jan Erik Gjerland: Just going back to Norway. It seems like the medicine is price increases to improve your underlying Norwegian business. Could you shed some more light into when you have done your price increases at which sort of starting date so we can understand the trajectory. And also, if you could shed some light into how much, if that's possible. So we understand what you have done and when you have done it. And on the same topic, the run-off loss from Motor for the last couple of quarters seems to be there rather than a gain. Is this something happening with Norway? Or is that sort of a Swedish TPL issue?
Johan Brammer: Thanks for your questions. Maybe I'll start off on the first one, which is a little bit around when did -- around the timing, right? When did the price increases start? When are they going to have the estimated impact?
Jan Erik Gjerland: Yes. Exactly.
Johan Brammer: And I think, if you will start by the timing of the implementation, right, we need to make -- we need to just emphasize that this is a moving target. So 1.5 years, a year ago, when we saw inflation hitting our businesses, we started to implement price increases across all geographies, especially in Norway. That being said, it's been a moving target. So it's changed from product category to another category is now coming into -- from raw materials into inflation. So we keep implementing new price increases on different parts of the business. So it's not an easy question to give a specific answer to, but we've been ongoing for easily 1.5 years, but inflation has also kept on moving upwards. And is now tapering off, but we are still not where we want to be. As you know, it takes 24 months for a price increase to have full impact. And since, it's been a moving target, there's still going to be a delay until it sort of stabilizes and inflation hasn't stabilized. And I just wanted -- and I think, what you're asking for is a little bit around when are you going to see the true impact in Norway. And I'll be very honest, I don't want to come out with the numbers since we are fighting a moving target. We are seeing impact Q-on-Q. I expect us to -- with the short -- there might be some outlier quarters, but I expect us to see a Q-on-Q our improvement going forward. But it will take time with the portfolio of our size. And I think you're seeing also, if you look at the market as a whole, this is a market situation also somehow emphasized with the currency, the weak NOK currency that keeps importing more and more inflation. So I mean, I think, the whole market is fighting this, and we are along them. It will take time before we are where we are, but I will not make the mistake of committing to a deadline.
Mikael Karrsten: Maybe just to add here, Jan Gjerland, as well. On the implementation of Norwegian actions, as Johan said, they started roughly 18 months ago. They have been gradually increasing over time. So I mean, we have reported each quarter what rates we're pushing through in motor and house and content. And you've seen those bars become sort of higher and higher over the year. And now we've also communicated what it looks like on a go-forward basis with what I said before in the high teens. So the earnings impact of that will obviously come to, sort of, over time with the portfolio renewing. But I mean, overall, we started roughly 18 months ago. There has been gradual improvement or increases in those rate increases over time. And I think, when it comes to the second question, run-off, I would suggest that we come back with a precise answer. But I mean, there is nothing structurally in this for one specific market or the other. This is not a specific Norwegian or sort of Swedish thing. So let us come back with a precise answer to that.
Operator: As there are no further questions in the queue, I will hand it back to the speakers.
Gianandrea Roberti: Thanks a lot to all of you for the good dialogue and a good question. As always, Investor Relations remains around at your disposal today in the next few days, we are also on roadshows. So we look forward to see you around and in the forthcoming days. Thanks again.